Operator: Good day, everyone, and welcome to Chuy’s Holdings First Quarter 2019 Earnings Conference. Today’s call is being recorded. At this time, all participants have been placed in a listen-only mode and the lines will be open for questions following the presentation. On today’s call, we have Steve Hislop, President and Chief Executive Officer; and Jon Howie, Vice President and Chief Financial Officer of Chuy's Holdings, Incorporated. At this time, I’d turn the conference over to Mr. Howie. Please go ahead, sir.
Jon Howie: Thank you, operator, and good afternoon. By now, everyone should have access to our first quarter 2019 earnings release. It can also be found on our website at www.chuys.com in the Investors section. Before we begin our review of formal remarks, I need to remind everyone that part of our discussions today will include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial conditions. With that out of the way, I’d like to turn the call over to Steve.
Steve Hislop: Thank you, Jon, good afternoon everyone and thank you for joining us on the call today.  On a high level we improved our top line performance during the first quarter as we grew revenues by almost 9%. Comparable restaurant sales also improved by 3.2%, while we are pleased with our sales trajectory which we believe has been augmented by our recent marketing efforts we also remain focused on the opportunities we have to improve upon our profitability.  For 2019, we intend to leverage on a variety of initiatives we laid out previously to drive sustainable top line growth over the long-term, in addition to marketing these initiatives include renewed push on technology, labor and off premise strategies. Let me update you on each of these items. Starting with marketing our strategy for the first half for the year will lean heavily on paid search, paid social media campaigns and location-based mobile advertising that will cover all of our markets. In addition to these overall efforts we are also focusing on certain markets, particularly this quarter, Chicago and Houston, with only three locations in Chicago our goal is to improve brand awareness and educate the market in the Chuy's experience. In Houston where we probably have 10 restaurants our focus is to drive increased frequency to our restaurants. To that end we launched targeted marketing efforts in these two markets in late April, following a successful media test during the fourth quarter of 2018. In addition, we are employing promotional radio, strategic highway and stadium signage and advertising on digital platforms like Youtube, Google and Spotify. We also leverage the Cinco de Mayo celebration to create excitement and further drive traffic to our restaurants. On the technology initiative front, we continue to see an increase in our overall online ordering adoption rate despite the lack of advertising in it. As of the end of the first quarter our to-go sales overall represent approximately 13% to 50% of all to-go ordering. Starting in May we will begin promoting online ordering in all markets which should drive increased adoption and strengthen our off premise business. As I said in the past we view this platform as a foundation to our future loyalty program which we will explore in the back half of this year. Further as it relates to our premise initiative we continue to believe that catering is an important part of our off premise strategy as it gives us another platform for top line growth while at the same time improving awareness on the Chuy's brand. Beginning in the second quarter we will add two caterings we'll add catering to two additional markets and on track to launch catering to six new markets by year end. At that time we will have catering offerings in 11 markets.  Other important off premise initiatives include delivery, and our to-go business both of which continue to gain traction. We believe our guests are becoming increasingly aware of our delivery offerings as we saw increase in delivery engagement during first quarter, which now contributes almost 2.7% of our sales. Overall total off premise business continues to grow and now makes up approximately 13.6%, of our sale.  With regard to labor, we continue to improve store level efficiencies and together with the newly integrated POS system, which is still in test we look forward to further optimizing our labor productivity. We also continue to make tangible progress related to new store labor efficiencies, reducing opening labor and new hires by 20% and our focus on achieving system average labor targets by month seven and our improved, with our improved glide path initiatives.  Before I turn the call back to Jon I would like to briefly review our 2019 development. During the first quarter, we opened one restaurant in Colorado Springs, Colorado, subsequent to the end of the first quarter we opened two additional restaurants, one in Hamburg, Kentucky and one in Huntsville, Alabama. All in all we're very pleased with the performance of these three recent openings.  Our operators and development team continues to do an excellent job of instilling our unique Chuy's culture in these new restaurants. For the full year we continue to expect to open between five and seven restaurants as part of our strategy to balance new unit growth while driving sales and improving restaurant level profitability through the initiatives I've I laid out.  All of our new units in 2019 are in proven markets with a history of strong AUVs and we're excited to complete our remaining developments for the year. Lastly we're in the later stages of building a real estate analytics tool which will allow us to create a trade a cycle graphic profile of our top markets and use it to identify new markets for successful expansion going forward. We're not going to open up any new markets until we have this tool fully developed and tested which we believe will be sometime during 2020. With that I would like to turn over to our CFO, Jon Howie for a more detailed review of the first quarter results.
Jon Howie: Thanks, Steve. Revenues increased to 102.1 million for the first quarter ended March 31, 2019 compared to 93.9 million in the same quarter last year driven primarily by comparable restaurant sales growth and 7.1 million in incremental revenue from an additional 99 new store operating lease. In total we had approximately 1286 operating weeks during the first quarter of 2019. Comparable restaurant sales increased 3.2% during the first quarter driven primarily by 2.9% increase in average check and a 0.3% increase in average weekly customers.  Comparable restaurant sales benefited by approximately 30 basis points due to the timing of New Year's Eve and Easter, net of unfavorable weather in Southeast and Midwest regions during the first quarter. Effective pricing during the quarter was approximately 2.6%. Turning to a discussion on selected expense line items, cost of sales as a percentage of revenue increased 10 basis points to 25.2%, driven largely by 2.4% in commodity inflation, this inflation was largely attributable to unfavorable beef and produce pricing partially offset by favorable pricing in dairy. For the year we continue to expect commodity inflation of approximately 1% to 2%. Labor cost as a percentage of revenue increased approximately 20 basis points to 35.9%. The increase was attributable to new store labor inefficiencies, hourly labor rate inflation in our comparable stores of approximately 3.3% and higher labor rates in some of our newer markets, offset by lower training costs for our new managers. Occupancy cost as a percentage of revenue increased 20% basis points to 7.8% primarily due to higher rental expense and real estate tax at certain newly opened restaurants. General and administrative expenses increased to $6.2 million in the first quarter compared to $5.5 million in the same period last year, primarily driven by higher management compensation, in part due to additional headcount to support our growth, higher performance based bonuses and in increase in professional fees. While we incurred cost of 0.4 million or $0.02 per diluted share related to closing of two restaurants during the quarter which we discussed on our last call.  In summary, net income for the first quarter of 2019 was $3.2 million or $0.19 per diluted share compared to $3.2 million or $0.19 per diluted share in the same period last year. Adjusted net income for the first quarter of 2019 was $3.6 million or $0.21 per diluted share compared to $3.2 million or $0.19 per diluted share in the same period last year. We ended the quarter with 7.3 million of cash on the balance sheet and we currently have no debt.  With that, we now will review our outlook for 2019. We continue to expect full year diluted earnings per share between $0.91 and $0.95 for 2019. This compares to 2018 adjusted earnings per share of $0.88. Our guidance is based on the following updated assumptions. We continue to expect comparable restaurant sales growth for the year of 1.5% to 2.5%. We expect restaurant pre-opening expenses of approximately $2.1 to $2.9 million. We now expect G&A expenses between $23.6 million and $24.1 million.  Our effective tax rate is now expected to be approximately 0% to 5% versus our previous range of 6% to 8% and we're now modeling annual weighted average diluted shares outstanding of 17 million to 17.1 million shares. We're maintaining our development plan for five to seven Chuy’s restaurants this year. Lastly, our capital expenditures net of tenant improvement allowances continue to be projected at $24.5 million and $30.7 million. With that, I’ll turn the call back over to Steve to wrap up.
Steve Hislop: Thanks, Jon. As we look ahead our goal is to create a solid foundation for sustainable top line growth. We believe this is achievable through the initiatives that are designed to not only improve brand awareness in newer markets but also drive frequency in our existing markets. Together with our ongoing initiatives and disciplined development strategy and superior restaurant operations we also believe we have ample opportunity to improve our profitability and drive shareholder value. Before we turn to Q&A I would like to thank all of our Chuy's employees for their hard work and dedication to earning the dollar every single day.  With that we're happy to answer any questions.
Operator: [Operator instructions] We will take our first next question from Mary Hodes with Baird. Please go ahead. 
Mary Hodes : Could you talk a little bit about the class of openings from 2018 and if you were to back out the units that you closed there are the remaining units tracking in the internal target. 
Steve Hislop: In 2018 yes, we're still tracking kind of on the pro forma that we set with those subtracted out.
Mary Hodes : Helpful, thank you, and then on the newer markets like Chicago and Miami can you just talk a little bit more about how some of the marketing initiatives are going in those markets at this stage I know you said a few more for Q that are beginning in Q2, but anything that worked in Q1 and what you're seeing there.
Steve Hislop: We believe how we track we're expecting a five to one to return and we've seen some movement again it's such a small profile in a small time period, we tested it really in the fourth quarter and then we ran a six week run those markets in the first quarter and then of course the digital and paid social throughout the whole company. And we've seen some moment again the key for that is to get much, much more awareness even the knack, cause we only have the three stores in Chicago and DC we have like five stores there. So again we need to run a little bit more but we're pleased with the return on investment so far as far as store visits. 
Operator: Our next question will come from Chris O’Cull with Stifel. Please go ahead. 
Unidentified Analyst: Actually Mitch on for Chris. First could you comment on the performance of your stores in Texas versus those in your non-core markets during the quarter and then can you comment on how April trended from both a comp and traffic perspective.
Jon Howie: Let's start with April, April started out because we have the Easter switch as well as we had some bad weather. So we were slightly down in April but we believe there is about 235 basis points with the Easter shift and weather that was impacting that on the period basis. And on a quarter basis that’s about a 70 basis points impact, so after adding that back we're still pleased with the trend there, as far as Texas. Texas continues to, as far as the rest of the country it continues to do well. However, we had significant sales momentum in all of our geographic areas but Texas was definitely slightly better. 
Unidentified Analyst: Thank you, then next I wanted to shift to some of the labor optimization initiatives. The company previously mentioned steps to reduce the number of store level managers and development expeditor program. Could you comment on where you are on that front and is this initiative system wide? 
Steve Hislop: Certain, there will be some reduction in some of our management parts and in store that has and really for the next part is mainly on the recruiting side of the business as really serve expos are basically key hourlies that can work some management functions but more importantly will be able to moved up into management positions as we move further. 
Unidentified Analyst: Okay then one more for me on the off premise business you mentioned the plan to extend catering to six additional markets throughout the remainder of the year bringing the total to 11. I’m curious what percentage of the store base at that time will have the service available.
Steve Hislop: By market and how we're doing that is result of putting in a catering van in the market and by the end of it will have 11 and we currently have 19 supervisory markets. So little bit more than 50%. 
Operator: [Operator instructions] We will take our next question from Andrew Strelzik with BMO Capital Markets. Please go ahead. 
Unidentified Analyst: This is Dan on for Andrew today. Thanks for taking the question. I was hoping if you could just talk a little bit about your view the current commodity environment given that we've seen some beef and import inflation so far this year and you guys called it out for the current quarter. Just wondering I guess how locked you are on your commodities for the rest of the year and I know you didn’t raise the commodities forecast but I guess hoping you could add some color about how you're thinking about that going forward. 
Steve Hislop: I have been reading a few things in casual dining and where they project, where the restaurant industry projects inflation and they are still projected to be somewhere in the 0% to 2%. You're correct I mean the pork which really doesn’t affect that much so we really don’t have much mix in pork. And a far as our beef we are locked in for the rest of the year. So it has pretty well locked in that increase that I have mentioned. We specifically have a specific type of cut with our fajitas, a thin meat and that has driven up significantly more than some of the other cuts and so we lock that in and we're comfortable with that for the rest of the year. But we believe all though it was up 2.4% over the same quarter last year it was actually down about 1.2% over the subsequent or the previous Q4 quarter. So we are seeing the prices come down a little bit from the last half of last year and so that’s why we're still comfortable with the 1% to 2%.
Unidentified Analyst: Great thanks and then just one follow up for me, back to the labor subject, labor management system specifically. I know you said that I think on last call that we could expect to maybe start seeing some benefits from certain implementation in the back half of 2019, just wondering if that’s still on track I guess given that the system's still being tested as I understand it, any additional color you could provide on that and how implementation is going? 
Steve Hislop: Well we have it all set there is a few and I know there is few bugs that we're still working out but we have it testing in two to three stores right now. We still expect it in the second half of this year and in place. 
Jon Howie: Specifically its clock in enforcement, the real key of this tool is really a projections and having a proper number of people at the proper times on and off time, so that’s the key thing in the tool and that’s what possibly using that little bit and that’s what we're getting ready to roll with the clock enforcement will be in the second half. 
Operator: [Operator instructions] We will move next to Brian Vaccaro with Raymond James. Please go ahead. 
Brian Vaccaro : Just wanted to circle back on the guidance Jon and the lower tax rate looks to be maybe a $0.03 if not $0.04 good guy to the guidance so G&A was an offset there, but just curious if you call out any other shifts in your store margin outlook, inflation outlook etcetera that you tweak within your guidance. 
Jon Howie: The biggest one obviously is the tax, we got some different things brewing on that. As far as the other guidance really nothing has really changed that much from a biz standpoint, there is gives and takes on the year-to-date or I should say on the full year guidance there's some gives and takes within the kind of the restaurant margin, but overall we're not changing that, that much. The only one is kind of the increase in G&A which will increase approximately 300,000 really related to kind of the performance bonuses and preopening expenses may trend up a little bit given the timing of some of the store opening in 2020. So we will give you more color on that as that progresses but that could trend up a little bit. 
Brian Vaccaro : Just on the quarter today, I was just curious does the Cinco de Mayo shift I know that's move around in the past and sometimes that impact on your business is that moving from a Sunday to Saturday had a material impact on sort of the quarter today I guess we're talking about a couple of days ago but does that have a mutual impact. 
Steve Hislop: From a Saturday to Sunday, you know it's still weekend and we try to utilize the whole weekend when we do that. So we did add some extra marketing shift to it but we don't think the shift in the actual day had much impact this year, it will be a bigger impact when you shift it to a week day versus weekend. 
Brian Vaccaro: And then just last one, could you spend a minute just on, I know you launched some new value initiatives in messaging day of the week type of value promotions. Could you spend a minute on kind of comparing how that’s impacting your business and the marketing behind those strategies versus the other market initiatives that you laid out in your prepared remarks, Steve.
Steve Hislop: What we done there is like daily special like we have a Taco Tuesday and we do Fajita Wednesdays and then we do five dollar margaritas in certain stores every single day. We're busy, we just started that and we're calculating it, it's definitely increased some customer counts. Jon's doing a down and dirty on the profitability of that as we're speaking. But we're pleased with it and the way we're supporting it as a group of stores that are doing this is through our social media and our paid digital.
Jon Howie: And to be clear on that Brian, it's just to select few stores. 
Steve Hislop: I mean our overall strategy is not ever really to discount from a company prospective. 
Brian Vaccaro: Okay so it’s a small percentage of your stores that just happened to be in today, in one of the markets. 
Steve Hislop: Yes. 
Brian Vaccaro: Understood. Thank you. 
Operator: And there are no further telephone questions at this time. I’d like to turn the conference back over to management for any additional or closing remarks.
Steve Hislop: Thank you so much. Jon and I appreciate your continued interest in Chuy’s. And we will always be available to answer any and all questions. Again, thank you. And have a good evening.
Operator: This does conclude today’s conference. Thank you for your participation. You may now disconnect.